Operator: Good day everyone, and welcome to the Equity Residential 1Q 2015 Earnings Call. Today's call is being recorded. At this time, I would like to turn the call over to Marty McKenna. Please go ahead, sir.
Marty McKenna: Thank you, Ann. Good morning, and thank you for joining us to discuss Equity Residential's first quarter results. Our featured speakers today are, David Neithercut, our President and CEO; David Santee, our Chief Operating Officer and Mark Parrell, our CFO is here with us for the Q&A. Please be advised that certain matters discussed during this conference call may constitute forward-looking statements within the meaning of the federal securities laws. These forward-looking statements are subject to certain economic risks and uncertainties. The company assumes no obligation to update or supplement these statements that become untrue because of subsequent events. And now I'll turn it over to David Neithercut.
David Neithercut: Thank you, Marty. Good morning, everybody. Thanks for joining us today. As reported in last night's earning release, our teams across the country did just a great job during the first quarter. Achieving 5% growth in same store revenue which was driven primarily by continuation of the strong occupancy that we saw in the fourth quarter of last year. We also did a terrific job on controlling expenses and delivered first quarter NOI growth of 7% and normalized FFO growth for the quarter of 11.3%. There is absolutely no doubt that we continue to enjoy very strong apartment demand across our core markets. And David Santee will go into much detail in just a moment. But the strength is been experienced in nearly every market in which we operate. Driven by all that which we’ve talked about over the last several years, including modestly improving economy that help produced a million new jobs in the last four months, 3.3 million in the last year. The creation of new households by the millennial generation which is generating significant demand for rental housing which is not being met by new supply today and the desire of so many to live in 24x7 cities across the country that have very high cost for the single family home ownership. So, all in all multifamily fundamentals remain very favorable. The first quarter of 2015 produced very strong operating performance and we’re pleased there are results here to-date and how we are positioned going into the primary leasing season have enabled us to raise our same store revenue guidance for the year to 4.3% to 4.7%. With that said, I’d let David Santee discuss in more detail what we’re seeing across the country today.
David Santee: Okay. Thank you, David and good morning everyone. Today, I’ll be reviewing our results for the quarter, discuss our current position with respect to base rent and renewal increases and then update you on our markets and our three buckets of revenue growth. All of these give us the confidence today to tighten and raise our full year 2015 revenue guidance. And while our expectations for Q1 performance were high, actual results were even slightly better. However, we remained full in the peak leasing season and peak deliveries across all of our markets are still ahead of us. Q1 performance was a result of the continuation of the strong operating metrics that we delivered in Q4 with the key driver of being elevated occupancies compared to Q1 of 2014. On the same store portfolio realized in 80 basis point pickup and occupancy however more notably our core markets delivered a 100 basis point pick up ranging from a low 50 basis points in Boston to a 180 basis point in San Francisco. We continue to believe that these improved results are driven by strong demand from an improving economy, a shift in generational lifestyle preferences as more and more methods are chasing the urban lifestyle and continued declines in home ownership. As a result of the strength that we saw in Q4 and the expectation that the trend would continue, we have the confidence to extend renewal offers that achieve 6.3% growth for the quarter, higher since Q1 of 2012. Additionally, the percentage of residents that chose to renew with us this quarter was the highest since Q1 of 2008, a 56.1%. Turnover continues to decline quarter-over-quarter falling from 11.3% to 11.2% with the percentage to move out to buy home dipping to 11.9%. The lowest percentage we’ve seen since of 2012. In terms of real numbers move out to buy homes from 1,330 to 1,296 quarter-over-quarter representing about 1.3% of our total same store unit count. Net resident turnover which factors out same community transfers fell 30 basis points quarter-over-quarter from 10% to 9.7%. As residents desire to remain in their building and neighborhood calls to them to move either up or down in rent with 60% choosing to move up. Net affected new lease rents, the foundation for determining renewal increases average 5.1% year-over-year for the quarter versus 3.1% in Q1 of 2014. And it continues to remain at these levels till today. As we introduced second quarter the significant occupancy gains that we enjoyed in Q4 and Q1 have began to moderate as expected. Although, today we still enjoy an exposure rate that is 10 basis points slower than same week last year, an occupancy at 96.4% which is 50 basis points higher than same week last year. Renewal increase is achieved for April and May today are 7.2% and 7% respectively and based on our results thus far for June and July offers, we expect to achieve similar results for these months. While Q1 for these outstanding revenue growth, those results were slightly better than our expectations that drive full year guidance, the peak licensees in just ramping up and reminding ourselves again that 2015 will see peak delivers. We’re extremely pleased with our quarter to-date results and expected outcome till May and June. Expenses for the quarter were generally in line however the route we took was quite different than our original road map. The North East storms resulted in significant snow removal cost and also impacted our ability to perform many services in house as our staff dealt with the inferiorly affects of the storm we were simply not able to make it to work. In the plus column all of these unexpected events were more than offset by the short declines in energy cost. Real estate taxes representing over 36% of total expense are being revived downward from 5.35% for 5.1% for the full year. As a result of lower than projected values in Virginia and lower overall taxes in Denver and King County in Wash you’re going to stay. In the minus column, to save even real estate taxes will be not by higher payroll cost which is 22.5% of total expense as a result of the over time north east storms and fewer vacant positions across our portfolio. With energy cost remain sharply lower and a slight reduction in property insurance cost, we remain confident that we’re track to hit the midpoint of our expense guidance range of 2.5% to 3.5%. Moving on to the market to lead up with Washington DC metro area, despite anemic job growth in record delivers during 2014, the DC metro area was able to absorb more than 14,000 units. As many as the government retirees live in homes in Suburbs, they’re younger replacements chasing to live in the city with the amenities and transportation they need right outside their front door. New lease lands remains under pressure and on average are flat across the portfolio. However renewal rates achieved have increased from the low 3’s during 2014 to the low 4’s in Q1. Renewable on the books for April and May indicate this trend will continue throughout the year. Improvements in job growth are beginning to materialize and the previous multi year declines in the professional service sectors have bottomed and are expected to be positive going forward. At 17% of total NOI, any improvement in Washington Metro will certainly have a favorable impact on our full year results. With 13,000 units being delivered in 2015 and by our count another 9,700 in 2016, the metro area continues to be fairly stable. With occupancy up a 100 basis points today but with same week last, DC performance thus far is dead on our projected revenue growth assumptions. Seattle continues to meet expectations with concentrated deliveries in the East and North. Amazon’s recent financial results board well and their 4,000 plus open positions in Down Town which paying an average $90,000 per year increased by 200 jobs versus same time last year. Expedia recently announced there would be relocating its headquarters from sub urge to the city with a high quality talent chooses to live work and play. Corporate relocations from the verge to the urban core are playing out in every major city across the U.S. and we would expect this trend to continue. San Francisco was the winning beneficiary of the improved occupancy that we saw in Q4 and Q1 with a 180 basis points increased over Q1 of ’14. With minimal deliveries relative to outsize demand, we see no reason why San Francisco should not lead the way again in 2015 and we look forward to scale our results as we begin lease up on our new product and Emeryville and Downtown. Denver thus far continues to maintain its ranking as the second best market across our portfolio with peak deliveries of over 9,000 units this year. We would expect softness in the urban 4 to continue with softness being defined as only 5.5% revenue growth. With the majority of our portfolio located in the suburbs we wouldn’t expect to see any material deterioration revenue growth for the full year. Additionally reports of actual or projected job losses as a result of the energy crash are few and far between. Los Angeles performance has shown tremendous strength in recent leagues. With net effective new lease rent growth approaching 7% today and renewal rents achieved averaging 7.5% thus far for Q2 versus 6.5% in Q1 will be moving Los Angeles to our plus 5% revenue growth bucket for full year 2015. With most of the port drama behind us and very strong demand in the valley and far North. Our broad base economy recovery has clearly materializing. With only 8,500 new deliveries expected in 2015 or should be minimal impact for this improved trajectory. Today representing almost 11% of our NOI, LA is delivering outcomes of 96.6% which is 100 basis points higher the same week last year and exposure that is 100 basis points lower than last year. It appears that LA is now on track for an extended month that will provide outsize growth for an extended period to the EQR portfolio. Orange County, San Diego and Emeryville Empire are all performing as expected. Since softness in Downtown, San Diego for new deliveries will constraint new lease rents. However renewal increase was achieved across the three markets range from the mid 6’s to the mid 7’s. Jumping over to Boston, new lease growth is going to continue to be under pressure as 70% of the 5000 new deliveries are concentrated in the urban core and Cambridge. With late 2004 deliveries spilling over into 2015. However despite the proceed impact from the winter storms, Boston absorbed over 4,600 units in the first quarter as demand and rental activity saw mill impact. As newly delivered office and lab space come online, we would expect to see increased demand in the urban core as the financial services and biotech industries continue their expansion. Our Boston portfolio is slightly better positioned than same week last year with lower exposure and 30 basis points better occupancy. With new lease pricing under pressure on the concentrated deliveries, the key driver of revenue growth for 2015 will be in the form of renewals where we achieved plus 5% through June. New York is steady as she goes. For Q1 the Jersey waterfront beat out Manhattan but only as a result of the poor results they experienced in Q1 of 2014. Going forward, we would expect Manhattan to continue to lead the metro area in revenue growth with modest weakness on the upper west side due to new and large unit count deliveries. Improved job growth in the higher paying sectors of business and professional services will certainly bolster demand for all the high-end product that has been recently delivered. In addition, it will help now to drop losses and the financial sectors appear to found the bottom. With the outsized deliveries in Brooklyn and Jersey City coming online, we are already seeing new lease price pressure and would expect that to play out in the next 12 months to 18 months. Last but not least, South Florida with over 12,000 units being delivered this year across the three county metro area, we expect the most severe pricing pressure in the downtown Miami submarket, where 50% of these new apartments will be located. The balance of new deliveries are mostly east of I-95 from Lauderdale all the way to West Palm Beach which insulates the bulk of our portfolio from direct competition. With only two EQR assets near downtown Miami and the balance of the portfolio further west of I-95, we should be well positioned to deliver another year of plus 5% of revenue growth. Job growth remained strong and diverse across the entire region with the potential implications of Cuba’s new open for business policy providing more questions than answers. So summarizing our buckets of revenue growth, we now see the DC bucket is half full versus half empty and have challenged our team to meet or receive 1% revenue growth for the full year. And 13,000 new units still to come and meaningful job growth in the early stages, Washington DC will be a slow and steady climb from the bottom. Our 3% to 5% revenue buckets now contain San Diego, New York and the cautiously optimistic Boston which will be challenged to achieve a 3 or better. Our plus 5% bucket has the usual suspects with San Francisco and Denver leading the way yet again. LA now breaking out with 6 plus revenue growth followed by Seattle with a solid low 6 and then South Florida and Orange County in the low 5s. As we’ve demonstrated it’s still a great time to be in the apartment business and improve the economy and the generational shift in lifestyle choices will continue to produce outsized demand in the urban core. A decline in deliveries in 2016 across most of our core markets will most certainly extend the runway we have to grow revenue and produce results that are above historical trend for the foreseeable future. David?
David Neithercut: Great, thank you David. As evidenced by the recent activity in our sector that remains a very strong bid for multifamily assets for many different segments in the investment community. As a result, the first quarter saw no acquisition activity in our part as pricing remains aggressive. We did sell three assets in the first quarter, two in Redmond, Washington and one in Agoura Hills, California for a total of $145.4 million at a 5.27% cap rate that we sold with the expectation that the buyer acquired about a 5% yield on those deals. These assets were each multiple building, gardens now assets average in 31 years of age and represented opportunities for us to sell into a strong investor demand of value-add product. Thus far the second quarter we have had some transaction activity occur that we think an interesting example of the market trading that you’ll see as try and undertake going forward. Two weeks ago, we required a recently completed 202 unit property in Boston or a $131 million and a low four cap rate. Around that same time, we also sold a 41 year old 193,000 square foot medical office building in Boston or a 123.5 million or $639 per square foot at a mid four cap rate. This property is located next to Mass General and was required as part of our charges with investment 16 years ago with the current demand or healthcare assets, we saw great opportunity dispose of this billing and trade into a multi-family asset with far more upside in both earnings and NAV growth going forward. On the development side, we commenced construction on one new project in the first quarter representing the last of the four downtown San Francisco sites that we acquired as part of the Archstone transaction. We’re building 449 units at a cost of $290 million and expected yield on cost at today’s rents in the mid fives. We continue to assume that we’ll start about $450 million of new development this year and we have a couple of smaller deals that we’ll have to get underway yet this year to reach that goal. But more importantly similar to the acquisition market there is a lot of capital chasing development opportunities and land pricing has increased significantly. As a result and noted on our last call, we’re not acquiring land to new development of the same rate as we’re commencing construction and existing side in inventory. So in addition to reductions and start this year, we would also expect starts in Q3 is to be down from the level same over the last several years. And with that Ann, we’ll be happy to open the call to questions.
Operator: Thank you very much. [Operator Instructions] We’ll take our first question from Nicholas Joseph with Citi.
Nicholas Joseph: Thanks so much, on the Boston acquisition, I wonder if you can talk a little more about that. What was attraction about that deal and if you’re underwriting criteria have changed at all?
David Santee: Well, I’m not sure changed at all, we think that deal today Nick is probably our best located assets in the city. And we underwrote that deal that a high 7% IRR than I think that our expectation over the last several years then high 7, low 8 and we think that this will deliver within that range.
Nicholas Joseph: And I guess just more broadly on the transaction environment today. You mentioned the strong bid and aggressive pricing. Is this an opportunity to actually trade out some of your non-core markets, if you can sign core deals to redeploy the capital?
David Santee: Well, essentially all have been doing over the last half of dozen years. So yes, the challenge there is not finding interest in those assets we like to sell as evidence by $4.5 billion of assets we sold to help of the Archstone acquisition. But it’s finding the uptake to redeploy those assets that capital. And I can tell you that of what we own today that we like to sale were no hurry to sell any of it, we’ll happy to continue to own it, we will exit Orlando in the next month or so. But other than that what we have on our listed itself we’ll in the meantime and when we find right opportunities to reallocate the capital we will, but we’re in no rush to do so.
Nicholas Joseph: Thanks. And then just finally on those dispositions, will they be from non-core markets or will they be non-core assets in your core markets?
David Santee: I would say would be all of the above. We’re getting low point today where, we can sale last non-core assets in our core markets, while we continue to sell out of non-core. So you’ll see us do both.
Operator: We’ll go next to Derek Bower with Evercore ISI.
Derek Bower: Great, thanks. I just had a question on the guidance and the outlook. Are you certainly appreciate the guidance rate for the full year, but still imply deceleration to the back half of the year especially at the top-end. So can you just elaborate a little bit more on maybe the risk factors that get you to the midpoint even the top-end of guidance still has deceleration you had turnover I think is down lower since 2008 renewals or high 2012. So can you just collaborate a little bit more or may be what brings the deceleration throughout the remainder of the year, just given how strong the household formation numbers have been?
Mark Parrell: Hi Jack, it's Mark Parrell, and I think David think you'll probably supplement this a little but we are mentioned before we really got a substantial occupancy and as such in the fourth quarter and again repeated that in the first quarter. And occupancy as David think, he just mentioned, remains very high. And so we do have positives in all regards on the operations side. But as you compare our occupancy in the second quarter; that we expect in 2015, the occupancy that we had in 2014, and you keep doing that throughout the year, they get closer those two numbers and there's just less occupancy benefit. So I don't think it's really as much anything about slowing down or decelerating our household formations being worse or anything like that. It's just the mechanics of the numbers when you have this occupancy improvement, that was so substantial, and that was in the slower part of our year in the end of the fourth quarter and be at the beginning of the first.
David Neithercut: And the only thing I would add is, the fourth quarter and the first quarter, the numbers are great. Both on new lease rents, both on renewals, but your transactions on those quarters are so few. So that's why I remind everyone that we do have peak deliveries. We're just now entering the peak leasing season where more than 50% of our lease will turn and that's where we will make most of the money. So we don't see any really deceleration, like Mark said, it's just the mechanics of the numbers.
Derek Bower: Okay, got it. And then just touching on margins, there was a bit of a deceleration sequentially from the fourth quarter. I know that's typical from the seasonality basis, but you get 100 basis point margin improvement last year in 2014 over 2013. What do you think is the projected run rate for ’15 again?
David Neithercut: As a margin? Yes, we put out 66%., 67%, I think those are good numbers. Like I want to point out our margin is fully [indiscernible]. So our property management cost, and everything that it takes to run that operation, IT, all property related legal, I mean all property related accounting -- so just when you're comparing apples-to-apples, you have the right comparative.
Operator: We will go next to Nich Yulico from UBS.
Nicholas Yulico: David, you mentioned the transaction market being -- what words you used exactly, but I think it was implying that pricing is pretty good and the selling apartment we you can't take out a cap rate that was probably about 100 basis points higher then, you guys had a much different portfolio. How do you think about, recognizing you guys don't need the capital, but how do you weigh may be doing a JV of punching your best lowest cap rate asset, just to kind of demonstrate to the market that this is where market pricing is and, this is where our stock is?
David Neithercut: Well, I guess we consider such an event if we did have a use of the capital, and I guess I would suggest you that every day away from us there are trades being printed that demonstrating value of these assets. So I don't think we need to do something to make that clear to marketplace. That's happening every single day all around us. So again if something we consider, if we had a use of the capital, we don't at the present time. Development is fully funded. But it's not something that we would not consider. We will certainly be open-minded, if it makes sense.
Nicholas Yulico: Okay, and then going back to this occupancy issue, you talked about. It looks like the comps get a little tougher throughout the year. You also said that, I think, in the second quarter so far you are over 96% occupied, and you're showing a good year-over-year growth and occupancy. So how do we think about this idea of recognizing that? The whole industry is kind of peaking occupancy and people are worried about year-over-year occupancy growth and yet, maybe we would get a push through that as an industry just because the main trend is so strong. What was considered as peak occupancy won't be peak occupancy.
David Neithercut: Well, I think you are referring to kind of 97 is the new 95, and I mean I think we are optimistic that could play out. We didn't do anything differently relative to pricing philosophies or processes in Q4 and Q1, but yet demand really is the key driver and if you take the position that some of these core markets are really under house going back 10 years and we have an improving economy, I completely agree that there is no reason why 97 could [audio gap] be kind of the new standard for the years to come in some of these core markets.
Operator: We’ll go next to John Kim with BMO Capital markets.
John Kim: Thank you. I really had just one data point with some seasonality. But how concerned are you of the weak GDP number that came out this morning? And particular if GDP moderates, let’s say 2% growth this year, how much will that impact your ability to raise rents at two times that rate?
David Santee: We haven’t that time of course to analyze the GDP number that just came out a couple hours ago. But some of that relatively low number was based on lower exports and U.S. dollar strength and things that just really don’t have a direct impact and I’m not suggesting none of our residents or employee being export oriented industries. But it’s just I think one number for one quarter and it’s been a pretty uneven recovery. So I guess we don’t, we feel like supplying demands [we can sell] at this point in our business.
John Kim: Okay and on the asset sales during the period, was it an important distinction that they were sold in the sub-urban markets? Are you continuing to focus your portfolio in the core studies?
David Santee: I guess they are representatives of the assets that we’ve been selling over the past half of those years being older, garden surface park kind of properties and in response to one of your earlier questions that you’ll being to see more of that in our core markets going forward. So the older garden type product in our core markets, you’ll see is trade out going forward providing we can find the reinvestment opportunity.
John Kim: Got it and then also on your development pipeline the stabilize deal you disclosed this period on complete and stabilized development with 5.9% which I think was one of the highest number if you produce in last few quarter. But I was wondering if you could disclose the yield of the developments that we are stabilize this quarter of a completed in prior quarters?
David Santee: Stabilize this quarter, I mean approaching 6% I guess the deal is that we completed in 2014 which I assume will then be those would stabilize this year. We think we’ll stabilize in the upper five close to 6%.
Operator: We’ll go next to Alexander Goldfarb with Sandler O'Neill.
Alexander Goldfarb: Good morning, just a few questions here and I’m going to guess that they are both for Mark will take them, the first is the Fannie and Freddie issue with their production caps. If the FHA doesn’t increase those caps, are you concerned about an impact as far as in the most multi-family market or is it something the private lenders already stepping up and even if both Fannie and Freddie have accounted for 60 billion in total. It’s not going to impacted in that private lenders will step in there but it won’t disrupt pricing or transactions in multifamily?
Mark Parrell: I mean we’ve been monitoring that situation for a while and just so everyone has the fact straight Fannie and Freddie were given by the regulator a $30 billion per year production limit and they are getting relatively close to those limits. Currently the regulator is considering this matter and may have some sort of decision in the near term. What I’ll say about EQR’s capital needs and you were asking more about this positions which I’ll get through in a minute but I mean we’re lucky and it’s enviable position of having access in the secured market and preferred market and the like company market will trade now is very competitive and very strong and all those markets now except the preferred market are cheaper than Fannie and Freddie for us. On the disposition side we have not seen any impact and in fact just sold an asset few days ago in Orlando and though there has been a lot of discussion about this matter in investment sales community. There wasn’t any impact on our pricing we weren’t re-traded on it, so we’ll have to see what the regulator decides i.e., more of the opinion that the market can adjust to some of this if given time, but we’ll just have to wait and see.
David Santee: Let me add just one thing here out if I may, I’d be far more concerned about this if we still own the $5 billion of product that we had sold over the last couple of years and what we own today. As I’ve noted in one of my responses to one of the previous question, we’re fine knowing that what we have today and I think that to that source of debt capital is far more important to what we have already sold and what we would sell going forward.
Alexander Goldfarb: And then the second question is on your CP program. The recent articles in the newspaper about moving some of the money markets to flooding any of these rather than fixed, does that affect the buyers of your CP paper? Would those buyers now buy short-term governments or the buyers of your CP paper are not the same as the people who have the prime funds et cetera?
David Santee: Yes I think the later. We’re A2/P2 rated, so corporate own us maybe a life insurance company or two owners love put money aside waiting for long term bond issuances to come out in the market generally. It is at the high quality. They’re not really allowed to own A2/P2 paper, so I don’t think that’s going to make a great deal of difference to us.
Operator: We’ll go next to Dave Bragg with Green Street Advisors.
Dave Bragg: On the topic of elevated occupancy, we seem to be attributing not a lot to strong demand, but can you talk about what you’ve done to reduce frictional vacancy if that could get everyone a lot more comfortable with this idea of sustainable higher occupancy levels?
David Santee: Well I mean that your biggest cost in vacancy is on turnover is vacancy I mean turn costs are relatively minimal. Actually just in the last let’s just say three weeks, we have sales meetings across all of our markets twice a year and I attended four of them in the past two weeks. And really the easiest way to reduce frictional vacancy is through retention and I think a lot of people in San Francisco understand what’s going on. Residence and under -- in San Francisco expect large increases. We see we get numerous emails from residence regarding renewal increases and what we’ve done is we’ve really made an effort to give our people the tools to better negotiate and not necessarily negotiate but to educate our residents. So our renewal discussions with residents are more about showing them what our competitors are charging bringing up rents on online and so that they can see that this isn’t something that just EQR’s doing, this is a macro event that is impacting pretty much everyone. And I think we have very good success with that and that’s why I think you see even though renewals continue to accelerate, turnover continues to decline. And then certainly just well-located buildings with access to amenities let outside the door and great service by our onsite staff altogether produce great retention.
Dave Bragg: Also, can you point to a change in the number of days that an apartment is down between when a renter departs and the new renter comes in? Have you been able to achieve any efficiencies on that front in the last call it five years or eight years?
David Santee: Well so, so that’s – there was a seasonal impact to that, so kind of average days vacant call it November through January or probably in the high 20s as you start getting into high traffic season, it comes down to the low 20s, it’s not 20 on average, but there is a lot of noise in those numbers. What we do is we really hold, we measure the -- whole time. So everyday we’re measuring how many days our staff are holding apartments for people that are moving in the vacant unit. Someone wants to run a vacant unit, they have to kind of take occupancy financial response within five to seven days. And we try to do that on our notice to vacant unit as well and some of that those vacancy days are influence to some degree by the level of rehabs that we’re doing, because it just, it kind of extend out those days by two to three weeks.
Mark Parrell: Yes, I just want to reinforce that distinction between the time of economic responsibility and the time of occupancy. Right, some of the comments any department 60 days is decline to choose or paying for today. And that’s one let me take off a lot of people out there, I think on the top operations that will not require as strict about when we have to take on the financial obligations relatively one actually take, compared to one actually take occupancy.
David Santee: And David just at a final note. David Santee mentioned on the last call are we moved a lot of our lease expertise around. So that we had four of them in the periods of time where as David Santee said we have the longer whole period. So we have move to significant amount of our lease explorations out of that slower period of demand. So that should give you higher occupancy overtime as well.
David Bragg: Okay, thank you for all of that. Next question relates to the Boston acquisition. Can you just walk us through what looks to be a mid four cap purchase to a high 7 IRR?
Mark Parrell: Well, it’s call rental growth. All being in a great asset, in a great location that May as David Santee is discussing today be one that is maybe challenge because of new deliveries, but we think over an extended time period we’ll do very well for us.
David Bragg: Okay. Just rental growth no cap rate compression.
Mark Parrell: No, no. In fact not cap rate compression on the exited all.
David Bragg: Okay. Last question just goes back to this broad currently very robust appetite for multi-family assets. Given the interest some interest in other assets aggregators. This is always a tough thing to quantify. But David you observe any degree of portfolio premium today?
David Neithercut: I guess, its portfolio premium or platform value. I don’t know, I think look at quite obvious that the private equity firms have raise off a lot of capital. Many of them under waited, under invested in multi-family. Multi-family is an extremely leverageable asset and I think that’s may people very interest in the space and be willing to be very aggressive in pricing. Whether or not that creating portfolio premium, I can’t tell you what platform value, I’m not sure. But there is no question that is an off a lot of large capital sources out there that have been looking at this space.
Operator: We’ll go next to Ian Weissman with Credit Suisse.
Ian Weissman: Good morning. Most of my questions have been asked in answer. But just if you could flush out a little bit your color on DC. -- are mentioned yesterday that the recovery in DC is really happening more in the urban core. I was hoping you can maybe address some of that comment and maybe decide for between CBD and suburban markets?
David Neithercut: Yes, let me, it’s can’t jumping around for few one, the numbers can play out, you see the strongest growth and the I270 code or suburban Northern Virginia and then South Arlington. However, this year you are going to see most of the deliveries in the I-270 Corridor more possessed. So Q1 the only market that was really negative for us was Alexandria and again South Alexandria, Alexandria is where a lot of the deliveries in 2015 will occur. So what was good this past year will probably be under pressure this year. If that helps.
David Neithercut: That’s helpful. Thank you. And just one final housekeeping issue, it looks like there was 6.9 million or so an income from the law suit settlement that JV in 1Q that should be backed out to keep the normalize FFO. It looks like you are backing out $0.02 more in 2Q, is that also from a law suit settlement or is there something else going on?
Mark Parrell: Correct. That’s another expected $10 or $11 million we’ll see timing could shift and ops can shift.
Ian Weissman: Related to another issue or [indiscernible]
Operator: You’ll go next to Richard Anderson with Mizuho Securities.
Richard Anderson: I guess when I just do a quick look at my NAV and I put a foreign on quarter type cap rate I mean I get to something close to 90 bucks for you. I mean is EQR too big to sell?
Mark Parrell: I wouldn’t think so. I think Sam has demonstrated the sale of EOP that we wouldn’t be too big to sell.
Richard Anderson: Okay. I mean we talk about portfolio premium all the rest maybe just occurred to me maybe we should be talking full anyway. The other question is much more term of a small level on the Boston acquisition would you made that deal in the absence of the MOB sale or is it all about the trade?
Mark Parrell: I guess, I’m not sure, I can answer question Rich because we didn’t think about it in that manner. We like this asset, we’ve look this asset for a while, that have been first part of like portfolio sale and there is one that we had identified. But we’d like to own if we could break it out of the portfolio. When it became available, we moved on it and my guess is we probably would have bought it. We think positively long-term about this location about the quality of this asset, about what’s happening Boston and my guess is that we probably would have bought it without the sale of the office [building/billing]. But being able to trade with the office building I think probably just help. But I think it is something that we would have strongly considered even if we didn’t have the office building of the source of capital.
Richard Anderson: Okay and then last question quick on for Mark. I know this duplicity charge declined this quarter versus last, is there a some sort of accounting adjustment there?
David Neithercut: Yes, just the change in estimate. This is charge we thought pretty exact comp program would be 11 million and now in the 9 million and just we as we got full information we just refine the estimate.
Operator: We’ll go next to Rob Stevenson with Janney.
Rob Stevenson: Good morning guys. How active these days are you guys on the redevelopment front? Are you taking on wholesale redevelopment or you basically just selling those assets and redeploying capital?
Mark Parrell: We are doing and we give you a fair amount of disclosure and then on page 21, our kitchen and bath renovation process which we call rehab and we spend about 50 million doing that, some of that is asset preservation and some of that certainly optional and accretive. We are doing a couple of large redevelopments one specifically out in Los Angeles. We took that asset at a same store. So I think as you see that we own more and more of these that are very hard to replace. I think you’ll see spend money on these larger scale renovations and we move those from same store like other folks do and now these kitchen and bath refreshes I think those will stay in same store and be something we spend $30 to $60 million on the year end. Just help us to stay current in the market.
David Santee: Yes, I would say in general Bob assets that we considered to be medium long-term holds will continue to do these rehabs as Mark suggested. On assets that we think would be short on term holds that might benefit from such a capital expenditure. We might often sell that asset not unlike the three that we sold in the first quarter for a value add player. We think that we would might realize more value selling that upside to a third-party rather than trying to do it ourselves and then sell it after the fact.
Rob Stevenson: In terms of the 144 million of land for development on the Page 19, how many projects does that include and how many of those are shovel ready today?
David Santee: I can’t say definitely how many that includes and any that would be shovel ready today may very well be starting. We do have a couple of sites in DC that have kind of been ready for a while that we kind of put on ice, but anything outside of that, they’re not shovel ready yet and when they are ready, we’ll start construction on them.
Rob Stevenson: And then lastly, given the commentary around the reduction in real-estate tax expectations for this year, do you guys think that you’re finally over the hub in terms of the really big increases or is this just a specific instance where you got a good benefit out of a couple of markets?
David Santee: Well I think if you go back and listen to some of our previous discussions, the 421 A abatement or burn off in New York City will add a 160 basis points to maybe a 180 basis points to our real-estate tax number for the next four years to five years. So I think this year, we’ve kind of couple of breaks. There’s still some bright spots that could materialize throughout the year, but I think high 4s low 5s are probably in the cards for the next several years.
Rob Stevenson: Okay.
David Santee: Just as a result of New York.
Operator: We’ll go next to Dan Oppenheim with Zelman & Associates.
Dan Oppenheim: I was wondering if you can just talk a little bit about DC I think with that comments of in terms of having a site that’s ready you’ve been waiting on. It seems that there are many others as well in that position. You have any concern that when you do see some sort of recovery in the market that there’s enough supply that comes that ends up being a very immediate recovery there?
Mark Parrell: I guess that’s how the process that will analyze Dan when we believe that it might make sense. I’m not sure that if there are [indiscernible] a lot of other sites they’re ready to go, I’m not sure the owners of those sites will have the capital and the financing given that marketplace to go forward and there may be an opportunity for the more highly better capitalized companies to actually sort of get ahead of that, but it’s certainly something that we’ll consider when we decide to go forward on that.
Dan Oppenheim: And then in terms of 315 on A in terms of the acquisition there buying a one year old assets there [indiscernible] for value add projects, do you think it’s a better market in terms of the acquisitions for those who where you can buy something that’s recent development but without the lease up risk to it that way?
David Neithercut: I’m not sure I can say anything for certain. Last year a fairly significant share of what we did acquire, we bought either in some stages of lease up and even considered buying something that was under development and my expectation we’ll continue to consider those kinds of opportunities because I think that can help us get a enhanced yield, but I guess it’s very difficult to say if there’s anything going on out there of any sort of opportunity other than there’s just not a lot of supply and a lot of capital chasing it.
Operator: We’ll go next to George Hoglund with Jefferies.
George Hoglund: Yes I just wanted to see on San Francisco and Northern California in general if the strong job growth continues, how long do you think we can see these sort of high single-digit low double-digit rental increases?
Mark Parrell: Well we’ve been asking that question for four years now. who’s to say, I mean the deliveries are primarily in downtown San Francisco. So you’re not delivering much of anything in the peninsula, a lot of your growth is being, you’re seeing double-digit growth far out in Dublin and now Auckland which was not desirable place to be. So I think what was a Facebook added double the number of positions or increase 50%. As long as that continues, I don’t see any into these increases.
David Santee: And let me just maybe answer that question in a different way. And say that our average rent in San Francisco still well below New York City and Boston. Right, so putting a size the rate of average, the absolute rents are still not at the highest in our portfolio.
Mark Parrell: I think, I just suggesting that would see at they would continue to be headroom there.
Unidentified Analyst: Okay, thanks for that color. And then also on DC just given the recent trends. When do you think, we could really see material improving DC, I mean giving all the delivery still coming online?
Mark Parrell: I mean we’re still at that flat to down. So I think it’s just going to be the velocity of job growth perhaps change in administration and reallocating more dollars back to defense spending. I think it’s going to take something from the government to really jump start the economy. But like I said, I think it will be a slow call back until there is some meaningful catalysts which most likely would be the federal government.
Operator: We’ll go next to Jana Galan from Bank of America.
Jana Galan: Thank you. Just a quick question on the development pipeline looks like 170 Amsterdam push that one quarter was that just weather related?
Mark Parrell: Yes, I guess, I just got no that you can push property back one month and have that be one quarter was really nothing to be. There is no story there Jana.
Jana Galan: Okay, thanks. And then just on the energy cost savings, is that change outlook for the rest of the year or maybe we could see some benefit as the year --?
David Neithercut: Well, I guess, I would say that we’re from a natural gas perspective, we’re writing the market. We did take average of some great for the winter strip beginning December and that continues into March of 2016. So we’ve locking some material savings there. But I think we’ll continue to see days in both electric, electric actually is the bigger driver and as more -- plan in the Northeast convert to natural gas, I think we’ll continue to see benefit from that on both natural gas and electric.
Operator: We’ll go next to Michael Salinsky from RBC Capital Markets.
Michael Salinsky: Dave, I think characterize the market I saying a lot of demand just seeing a little of supply on the market today. Is that supply today, I mean is that quality supply sitting in -- house or is it mostly value-add. And then just as for several years into the cycle right now, while the early supply that was build --. Do you seeing more and more that kind of come to market there is kind of restocking the pipeline?
David Neithercut: Well, we keep expecting too. I will tell you every year Alan, George and his guys comeback had may senior into January saying that the brokers have telling them that they’re getting being also to request for opinions and value et cetera and we continue expect to see new supply. But I guess maybe with financing rates available to refinance these assets and just the scarcity of them it’s possible people that are not willing to sell at this period of time. Clearly, we’re probably a little bit more selective and what we’re willing to buy today which may have served narrow the scope of what we’d be willing to consider but there is just not much out there, we do underwrite a lot, we bid on what knowing that we’re not likely win, so we stay in touch of the market. But I think that never seen our acquisition list as be as it is today.
Michael Salinsky: Okay. That’s helpful. We’ve see a lot of actual grounded up to that kind of development in New York city right now. Have you seen any pick up in terms of conversion activity be at New York or any other market right now.
Mark Parrell: I think what would -- the conversion I think is been more talked than action. There is certainly been some limited but they’re very risky proposition takes an of lot of capital and takes an extremely long time to actually execute and people have talked a lot about potential for conversion but we have seen less than we would expect given the share that we’ve heard about it.
Operator: At this time there are no further questions in the queue. I would like to turn the call back over to David.
David Neithercut: Thank you very much. So, before you hang up I want to thank everybody for your time and your interest in Equity Residential today. And to let you know that on Monday afternoon of the meetings in New York City in June we’re got to be hosting some tours of our new developments our Park Avenue South and Amsterdam at 68, street. And you all will be receiving a notice and invitations of that. So, stay tuned for more details. So, thank you very much, look forward to see you all in meeting June.
Operator: This does conclude today’s conference. We thank you for your participation.